Operator: Good morning. My name is Krista and I'll be your conference operator today. At this time, I would like to welcome everyone to the Genius Sports Fourth Quarter 2023 Earnings Results Conference Call. [Operator Instructions] Thank you. I would now like to turn the conference over to Genius Sports. You may begin your call.
Unidentified Company Representative: Thank you, and good morning. Before we begin, we'd like to remind you that certain statements made during this call may constitute forward-looking statements that are subject to risks, that could cause our actual results to differ materially from our historical results or from our forecast. We assume no responsibility for updating forward-looking statements. Any such statement should be considered in conjunction with cautionary statements in our earnings release and risk factor discussions in our filings with the SEC, including our annual report on Form 20-F filed with the SEC on March 30, 2023. During the call, management will also discuss certain non-GAAP measures that we believe may be useful in evaluating Genius' operating performance. These measures should not be considered in isolation or as a substitute for Genius' financial results prepared in accordance with U.S. GAAP. A reconciliation of these non-GAAP measures to the most directly comparable U.S. GAAP measures is available in our earnings press release and earnings presentation, which can be found on our website at investors.geniussports.com. With that, I'll now turn the call over to our CEO, Mark Locke.
Mark Locke: Good morning, and thank you for joining us today as we conclude another year of consistent execution and outperformance. Over the last few years, we have carried out many strategic and commercial objectives to position our business for structural and sustainable success. The results of these objectives are now clear in our financials, as we announce our eighth consecutive quarter ahead of expectations and present a business that is strong, well-positioned, and profitable today as it has ever been. To recap, we reported Q4 revenue of $127 million, beating our guidance of $126 million and representing 21% growth year-on-year. This brings our full year revenue to $413 million, which is $22 million ahead of our guidance at the start of the year and represents a 21% growth compared to full year 2022. Anchored to a cost base that does not grow in line with revenue growth, we converted 52% of every incremental dollar to our adjusted EBITDA in 2023, demonstrating the clear operational leverage of our business model. Our Q4 adjusted EBITDA of $12 million is also ahead of guidance and it brings our full year adjusted EBITDA to $53 million, representing nearly 3.5 times growth, over 800 basis points of margin expansion compared to 2022. Importantly, this led to $11 million of positive free cash flow in the second half of 2023, as we have guided to throughout the year. This marks a meaningful inflection point for the business as we expect to maintain positive free cash flow on an annual basis in 2024. There are several growth drivers that have contributed to our outperformance in 2023, and these same dynamics will continue in 2024. Therefore, we expect to grow our 2024 revenue by at least 16% to $480 million and our adjusted EBITDA by at least 41% to $75 million. We expect these near-term growth dynamics to persist over the long term as well, and with each passing year we grow more confidence in our long-term strategic and financial goals. Our lead partnerships are growing from strength to strength as we expand our suite of technology solutions, empowering new forms of fan engagement and monetization. This ultimately gives us confidence in not only retaining but also expanding our technology delivering relationships over time. A few notable examples from this year are the extensions of our NFL and Football DataCo partnerships. Most recently, we also announced a 10-year strategic partnership with FIBA, where we plan to deliver our computer vision technology and AI-powered capabilities across the 200-plus national federations worldwide, covering tens of thousands of global basketball events per year. With our scale and best-in-class technology suite, we have a diverse number of channels to monetize our different league relationships. This includes opportunities unlocked with broadcasters, content distributors, sponsors, advertising, and, of course, sportsbook customers. For our sportsbook customers, this same technology creates new value-enhancing products to better engage their audiences and drive more betting activity. BetVision is a great example of this, which we will cover shortly. Each of these different touch points solidifies our position at the heart of the digital sports ecosystem, and more importantly, translates to sustainable improvement in the financial metrics that we are most focused on. This includes consistent revenue growth, disciplined cost control, margin expansion, and free cash flow generation. Given the multitude of growth drivers and high visibility of our cost base, we are more confident than ever in achieving our long-term EBITDA margin target in excess of 30%. Now, let's review how some of these fundamentals performed in the quarter. We'll start with the positive trends we've seen in the U.S. sports betting market through the full NFL regular season. As a reminder, our revenue share agreements with U.S. sportsbook operators enable us to benefit from multiple growth drivers, including broader market expansion, improvements in operator win margins, and higher in-play betting, where we earn three times higher revenue share relative to pre-match betting. In our third NFL season, each one of these variables have fueled growth in our overall betting revenue and in the U.S., where we expect significant growth over time. The diverse multitude of growth drivers helped us exceed expectations in the quarter, which is the proof point of our rock-solid business model which insulates us from unfavorable sports outcomes that you may have heard about from our customers. First, we continue to see impressive growth in the total U.S. sports betting GGR, which increased by approximately 50% in 2023. This has come in the form of new state launches, as well as continued growth in existing states. It is worth calling out Genius is market share agnostic, meaning as long as the market grows, we will grow with it regardless of which operator ultimately wins. For instance, in Florida, where Hard Rock is the only operator at the moment, we realized immediate revenue uplift off the back of their online sports betting relaunch in the quarter. For the NFL, more specifically, it has been another spectacular year across the board and particularly on the betting front, with in-play handle and GGR increasing by 60% and 140% year-on-year respectively. What's more encouraging is that we've also seen a meaningful improvement in in-play win margins compared to our first NFL season in 2021. We have always said that in-play betting would naturally increase as the market matures, and we are beginning to see that now. We also believe that this would be a product-led evolution and our introduction of BetVision this season is now a proof point of highly engaging product that activates more in-play betting on NFL games. Last quarter, when we first launched BetVision, we discussed how this product simplifies and enhances the discoverability of in-play betting. BetVision brings together many of Genius' best tech assets; live odds, players and team stats, and the next-gen augmentation, to name a few, to deliver a differentiated in-play betting experience, and we expect that this will be critical for sportsbooks to attract and engage a valuable sticky customer base. We also provided some early data points to demonstrate how it helped sportsbooks increase their in-play betting volume. It was a small sample size then, but now with the full season behind us, we're happy to say those numbers held up consistently throughout to the end of the season. To summarize, 50% of the total number of bets made by BetVision streamers were in-play bets. Of the total betting handle or dollar volume bet from BetVision streamers, 76% was from in-play betting. And when comparing the first half of the season to the second half, we've also seen total betting handle and in-play betting handle triple over that time. We are very happy with the early success of this product and the value we have created for our sportsbook partners and the NFL. However, what excites us most is the innovation roadmap still ahead and the opportunity to develop new features for the NFL and expand this product to even more sports. We have created a platform that now generates millions of eyeballs, which presents a vast opportunity to monetize in many different ways. As the world of sports betting, media, and broadcast are rapidly converging, we're providing key solutions to keep our partners at the forefront of this trend. We expect to launch even more features to the BetVision product to create a fully personalized and interactive experience. So stay tuned for much more to come. BetVision is just one of the many initiatives that we have delivered on to empower our sportsbook customers to succeed. As such, we view ourselves as a true value-add partner to sportsbooks, providing more tools to help them win and grow their businesses. Consequently, our business model positions us to grow alongside our customers and the output of this has been steady net revenue retention over the last few years. On Slide 8, you'll find updated net revenue retention metrics which highlight a successful track record of increasing customer value over time. It's important to remember that there are multiple inputs contributing to growth within each customer. For example, when we have revenue share agreements, predominantly in high-growth markets like the U.S., the values have naturally increased based on a handful of factors, include a larger TAM, higher in-play betting, and improving win margins. However, growth has also come in the form of new product offerings like BetVision or digital advertising services, for example, or simply just offering a wide range of content from our rights portfolio. We aim to provide differentiated tools and content to help our sportsbook partners grow over time. Our commercial arrangements then enable us to share in that growth. We have a long history of partnering with hundreds of sportsbooks in this fashion and we expect to continue the success over time. In the context of our frequent ongoing contract renewals and renegotiations, you should view these as opportunities for us to provide new value-added products and services to help sportsbooks enhance their offering to customers. This is exactly how we have achieved our strong net revenue retention historically, and how we expect to sustain that success going forwards. Importantly, many of these growth drivers, as I've mentioned, have resulted in immediate revenue benefit with little or no incremental cost, which is exactly how we've been able to improve our profitability and cash flow profile in 2023. Equally, these same dynamics that supported our financial success in 2023 will continue to drive profitability growth in 2024, particularly as we continue developing innovative products and have many opportunities to bring them to market. With that, I'll now pass the call to Nick to discuss the financial results and initial 2024 guidance in more detail.
Nick Taylor: Thank you, Mark. You've already heard the headlines from Mark, but it's worth reiterating the consistency of the results throughout the year. Each quarter this year, we have exceeded expectations and raised our full year outlook. For Q4, we reported $127 million of revenue, which was above our initial guidance of $124 million and our updated guidance of $126 million. This was also true at an adjusted EBITDA basis as well, as we realized high incremental flow-through from our revenue growth. We reported nearly 4.5 times growth in adjusted EBITDA, $12 million in Q4, also beating our guidance of $11 million. Throughout the year, you've also heard us reiterate our expectation for positive free cash flow in H2 of 2023, and we're happy to report that we have achieved this very important milestone after generating $11 million of cash in H2. In addition to the revenue and EBITDA growth, it's also worth drawing your attention to the consistent margin expansion throughout the year. Not only have we exceeded our revenue and EBITDA targets through the year, but we've also expanded our adjusted EBITDA margins by at least 600 basis points in each quarter, as illustrated on Slide 11. This is true on a gross margin basis as well. In each quarter, our gross margins have materially improved year-on-year. For the full year 2023, our gross margins increased by nearly 1,600 basis points. This is driven by a stable and highly visible cost structure that can support significantly higher revenues. We have long discussed the operating leverage of the business, which has now been demonstrated across the full year 2023. 2023 marks an important inflection point for the financial model, and fundamentally, these dynamics will not change in 2024. So we expect to continue this momentum. For 2024, we expect to generate Group revenue of $480 million, representing 16% growth, as we expect to benefit from the same building blocks that supported revenue in 2023. For instance, we expect continued growth in the TAM with new jurisdictions such as Florida, North Carolina, and potentially Brazil representing entirely new revenue opportunities in 2024. Additionally, as you've heard Mark discuss, we continue to see encouraging growth in in-play betting, which can potentially be accelerated by new in-play products like BetVision, as an example. With a long track record of using contract renewals as opportunities to provide more value to our customers based on their needs, whether in the form of additional content, expanded services, new products, increased advertising spend, and more, we're excited about what this can mean for the growth of Genius, as well as our customers. And, of course, we're always winning new customers. These can be sportsbooks who require our official data, advertisers who buy our media and fan engagement products, or broadcasters buying our augmentation solutions. Again, each of these building blocks come with little or no incremental cost, so we expect much of this revenue growth to contribute to our Group adjusted EBITDA. For 2024, we expect Group adjusted EBITDA of $75 million, representing 41% growth and a 16% margin. That said, I want to be absolutely clear about the pacing of our EBITDA profitability over the course of the year, as there's a bit of seasonality worth noting. As we've discussed in the past, our rights fees are fixed with predictable increases in each year, and the magnitude of those increases are slightly higher in '24 compared to 2023. Additionally, as part of our expanded NFL partnership, there are marginally higher rights fees associated with the domestic live video streams we use to power our BetVision product. To be clear, BetVision has been accretive in the business across the full NFL season, predominantly driven by our Q4 results, as we recognize three full months of NFL. However, given the fact that there are simply fewer NFL gains in Q1 compared to Q4, the incremental flow-through to EBITDA won't be as meaningful as it was in Q4. As a result, we expect Q1 Group revenue of approximately $117 million and EBITDA of $6 million. As you can see on Slide 14, we expect year-on-year EBITDA growth and margin expansion to accelerate in each quarter for the remainder of the year, as many of those key tailwinds and growth drivers I mentioned are recognized in the second half. Therefore, we are highly confident in achieving our full year targets. And finally, we expect our EBITDA to convert to free cash flow across the full year 2024. To be clear, there may be some fluctuations in net working capital and other one-off cash outlays in the first half, and as a result, we expect our Q1 closing cash balance to be approximately $100 million. Like 2023, we anticipate positive cash flow again in the second half of 2024, which should result in a net positive cash position for the entirety of 2024. Lastly, I've spent a bit of time discussing the stability of our cost base, and since it is highly predictable in any given year, it is worth taking a moment to review the approximate shape of our cash operating expenses for 2024. As a reminder, our cost base is relatively fixed and we don't expect to be materially increased in order to achieve higher revenues or adjusted EBITDA this year. For example, all else being equal, our rights fees and related direct costs are unlikely to deviate from our estimates, whether we're selling to 100 sportsbooks or 1,000 sportsbooks.  Equally, all other total operating expenses beneath cost of revenue, as presented on a non-GAAP basis on Slide 19, have remained relatively steady over the last year, even as we've significantly increased revenue in that time. We expect this will be the case in 2024 as well. To conclude, we feel a great sense of excitement entering 2024 with multiple ways to win. We've established a highly defensible competitive position through deployment of cutting-edge technology. We've strengthened our partnerships with leagues and federations across the globe. We've launched exciting new products to empower our partners to better engage their customers. And as a result, our business is poised to benefit from multiple growth drivers, which we expect will drive continued revenue growth, margin expansion, and cash flow generation in 2024. With that, we now conclude our prepared remarks and open the line to Q&A.
Operator: [Operator Instructions] Your first question comes from the line of Ryan Sigdahl from Craig-Hallum Capital Group. Please go ahead.
Ryan Sigdahl: Hi, good morning, guys. Want to start with BetVision. So appreciate the metrics on Slide 7. Curious what you can say on plans to launch a similar product across other sports, and how difficult from a technological standpoint that is, and how efficiently you can do that. And then what is the biggest challenge you're getting from the non-four kind of original sportsbooks you have on that platform? Why can't you get others faster?
Mark Locke: Hi, Ryan, it's Mark. Yes, I mean, obviously the plan was always to build a scalable platform. That was the focus of what we did when we started this, and rolling out other sports is a clear focus for us. Technically, the integration and the development of that is fairly straightforward, and we would expect to see a number of those sports rolling out over the next 12 months. In terms of the additional sportsbooks, the - I think one of the sort of challenges they have is the speed of integration, and I think there's a bit of a backlog in some of the integration pipelines. So what we've been doing is working with the sportsbooks to prove the concept. I think we've undoubtedly done that, it's a very clear, strong product and there's a lot of proof out there of that. So this is a case of working with our partners to manage their integration pipelines and get these sportsbooks live with the new product.
Ryan Sigdahl: That's great. Thanks, Mark. Nick, one for you. When I look at the quarterly guidance cadence for this year, Q4 is going to be the highest and highest-ever quarter, up triple digits. So there's this ongoing concern with some that the NFL contract is uneconomical and will never be profitable for you guys. I guess that seems to contradict that, given Q4 is the NFL. So, I guess, can you talk through the puts-takes, talk through the NFL, and just maybe respond to that risk? Thanks.
Nick Taylor: Hi, Ryan. I guess I'll just point everyone to our sort of performance over the last three years since we won the NFL. Really, Ryan if you go back, I think it was 2021, I think we were EBITDA loss-making at that point. 2022, we delivered a margin of 5%. This year, I think we're knocking 13% EBITDA margin in 2023, and I think we're now going to about a 16% margin in 2024. And you're right, you can see that margin expansion, not just in the quarter we've just reported, but the quarter we're forecasting for Q4. So I guess, Ryan, to counter that argument, I'll just point out to what we've already delivered, and what we're guiding to, and what we're intending to deliver in 2024.
Ryan Sigdahl: Beautiful. Maybe just a quick follow-up. Is that a full cash contract assumed in Q4? Thanks. Good luck, guys.
Nick Taylor: Yes. Ryan, that's exactly right. As you know, there were warrants in the outer years in the original contracts. And as part of our contract extension that we did mid-year '23, we exchanged that for full cash. So that's all baked into those numbers.
Operator: Your next question comes from the line of Bernie McTernan from Needham & Company. Please go ahead.
Bernie McTernan: Great. Thanks for taking the questions. To start, maybe just to follow up on BetVision. It was a minority of betting operators had access to BetVision during the '23 NFL season. What do you think the revenue uplift would be, given all the nice detail you provide on Slide 7 if BetVision was rolled out to all U.S. sportsbook operators for next NFL season?
Mark Locke: Yes. I think maybe a minority in terms of numbers, but probably not in terms of market share. We've had some good success with the rollout, including FanDuel. I think when we think about BetVision, it's really about the way that the revenues and the profit from that compound. So obviously we're taking shares. As you know well, we're taking pre-match share, we're taking live share at roughly 3 times the amount. And the fact that BetVision is really focusing people on a lot of the in-play, it's a lot of the live betting, really helps that 3 times multiple that we're getting on the in-play come through on top of the fact that the in-play is growing rapidly.
Bernie McTernan: Got it. Thanks, Mark. And then Media Technology revenue has been swinging around a lot. As we're fine-tuning our models for '24, should we be thinking about this more as like a 10% grower or 20% grower, or just kind of any puts and takes you think we should be contemplating as we think about '24?
Nick Taylor: Yes. Hi, Bernie, it's Nick. Look, you know that media can be just a question of timings of spend. We saw that in Q4, where some of the sportsbooks saved some of their spend over the Christmas NFL games and spent it in the playoff games instead in Q1, as you know, with a quarterly cadence that can have a couple of million dollar swing one way or the other. I think the way we're forecasting '24 at the moment is we're not giving specific guidance, but we're thinking about roundabout sort of 15% growth year-on-year for 2024. And I would suggest we're being conservative in that area, but as we stand here today, there's still lots of things to happen in '24 to make that the case.
Bernie McTernan: Understood. Thanks, Nick.
Operator: Your next question comes from the line of Jed Kelly from Oppenheimer. Please go ahead.
Jed Kelly: Hi, great. Thanks for taking my questions. Just two, if I may. Want to go into the slide, it looks like the data right costs, I think are like $195 million. It looks like they're growing. I don't know. Maybe I know you will have it, but maybe like 30%. So slightly faster than revenue. Can you talk about what's going on? And then bigger question for you, Mark. We're seeing a lot of technology innovation around streaming, particularly with like the Apple headset, YouTube TV, where does Genius and your technology fit and what's going on in the streaming landscape? Thanks.
Nick Taylor: Hi, Jed, I'll take the first one. I'll pass the it back to Mark to take the second part. So, look, I guess the first thing to say, Jed, is, look, we're delighted with the drop-through that we've experienced in 2023. I think it's running roundabout 53%. And you can see on a cash basis, you've heard us talk about operating leverage a lot, and you can see that that's really motoring over the course of the last 36 months. When you look at '23 to '24, and I'll park right for a second, but I'll come back to that. You can see that the cost base remains pretty flat year-on-year. I think it's something like $208 million to $210 million. So, again, that operating leverage is coming through the business clearly. And to be clear, Jed, that's something that should continue to be the case beyond 2024 as well. Now, specifically on rights, let's remember, I guess, first of all, rights are fixed and we have great visibility. But I guess, inevitably, they're not linear. There is a - they're sometimes lumpy over a rights cycle. And you're right, there's a slightly higher step-up in rights from '23 to '24 than there was in '22 to '23. Hence why we're estimating a drop-through in our guide at roundabout 33%. But to be clear, Jed, that's still delivering an EBITDA margin expansion in '24 to roundabout 16%. They will be lumpy. I think a sustainable position, probably beyond 2025, is probably somewhere between the drop-throughs of '23 and where we're estimating for '24. And that EBITDA margin expansion we'll expect to see continue beyond '24.
Mark Locke: Hi, Jed, it's Mark. In terms of your second question, I mean, look, this is super-exciting, some of these developments that are coming through, and clearly it's the future. It's where we've really been investing sort of ahead of the curve over the years. And a lot of the work that we've done with Second Spectrum positions us really well. This is part of a wider digitization of the sports ecosystem, which again, is exactly where we play. It brings in our media business very strongly and gives us really further outputs for sports and another way for the fans to engage. There's some stuff that you should probably be thinking about. The content rights are still a big part of what's required to get this stuff. So there's still a fair bit of work to be done in terms of the way that I think Apple are going to be displaying sports. And I caution you a little bit on getting too excited about sort of revenue flow-throughs at this stage. This is really about positioning ourselves well, having a partnership with people like Apple, and you know what we're doing with the Apple Sports app as well, where we're providing them with a lot of the data. I think it puts us in a strong position for when this stuff becomes more mainstream, when the data rights market and the sort of distribution of this becomes a bit more widely featured.
Jed Kelly: Thank you.
Operator: Your next question comes from the line of Jordan Bender from Citizens JMP. Please go ahead.
Jordan Bender: Good morning, everyone. I want to follow up on Jed's question. So the incremental margins dropping from 53% into the mid-30s for '24, is that all related to the rights increase, or is there any more investment in the business that you guys are kind of stepping back, investing in the business outside of those rights costs in '24?
Nick Taylor: Yes. Hi, Jordan. I think we gave a slide specifically in the deck on a cash basis, looking at the cost base. And if you look at that year-on-year, you can see, I think, if you include everything outside of rights, I think our cost base goes from $208 million to $210 million year-on-year. And indeed it's broadly in line with - if you want to look - go back to 2022 as well. So you've got very little incremental cost in the business, driving those additional revenues. As I say, the rights position is driving that. We're going from, I think, 154 to the 190-odd that we've guided to. And that's just, as I say, it's a function really that the rights aren't linear, there are lumpy years. It was a less bigger jump from '22 to '23, it's a slightly bigger jump from '23 to '24. And we'll be sure to guide when we get beyond 2024 and any years that are either slightly more, slightly less than the mean.
Jordan Bender: Understood. And then in-play - in your slide it says in-play represented over 20% of your GGR, which tying that back to the outlook or the guidance that you gave at your Investor Day back in '22, would represent a significant improvement over those projected levels. I know there's no crystal ball, but is it fair to assume that the shift in in-play is accelerating faster, just driven by the product rollout? And I guess the second part of that question to Mark, you kind of alluded to it in the prepared remarks, does that help with the ongoing price negotiations?
Mark Locke: Sure. Look, I think I'm cautiously optimistic about this and we are seeing good growth. Again, if you look at the sort of BetVision numbers and the proportion of in-play betting, it's really being product-driven. And I think that's a really good thing for us and puts us in a really strong place. I think the other thing that's worth just having in your mind when you're considering these things is the improvement in margin as well. You've obviously - one of the things we've always been very focused on and very excited about with in-play is the fact that you generate materially better margin, or you should do anyway, and we're seeing that come through as well. So again, I talk a lot about this compounding effect of the shift to in-play, the increase in margin, and again, the addition of quite a new product like BetVision, all really sort of pushing things in our favor. In terms of contract renegotiations, look, we as a business have built this over being good partners to our sports, our sportsbooks, and it's something we take very seriously. And when we think about our contract renegotiations, obviously, we want everybody to be successful. And, therefore, the way that we help our bookmaker partners be successful is through new product launches, such as BetVision, such as Edge, which is increasing margins even though that product is very young, and it puts us in a place to be deeper integrated with our bookmakers and generally to do a better job and hopefully share from the upside in the industry. So I think, yes, all of these things support the business and the investment strategy that we've had over the time, and we feel, as I said, cautiously optimistic.
Jordan Bender: Thank you very much.
Operator: Your next question comes from the line of Chad Beynon from Macquarie. Please go ahead.
Chad Beynon: Morning, Mark and Nick, team, thanks for taking my question. For '24, wanted to ask about the guide, particularly the sports betting guide. I think, Nick, you said for '23 North American GGR rose 50% for the market. You, obviously, benefited from that given the NFL contract. I think for '24, we're all expecting North American GGR to be up well into the teens or the 20s. But how are you thinking about that non-NFL piece of the betting market? Can that continue to grow, let's call it, high-singles, low-doubles outside of the U.S.? Thanks.
Nick Taylor: Hi, Chad, it's Nick. Yes, Europe has shown some really strong growth, as you can see in our numbers this year, and we commented quite a lot of it, I think, in our Q3 earnings call, Q4 as well. It slowed down a little bit in Q4 in Europe because it was comping against a much bigger Q4 in 2022. I mean, the way we're looking at it is, broadly, I'd say that we're expecting our U.S. business to probably grow at roundabout 20% year-on-year, and our European business to be growing at roundabout 15%. So still very healthy growth coming from Europe.
Mark Locke: And I think the sort of macro - sorry to jump in, one of the macros in Europe is quite interesting at the moment. I mean, even though the growth is sort of, I guess, less aggressive than in the States, you're still seeing positive signs. I mean, Belgium coming online and legalizing betting for people over '21 is a good sign. And I think that there's still a lot of potential left in the market.
Chad Beynon: Great. Thank you. And then as you look at additional technology, kind of, tuck-ins or bolt-ons, what are you seeing in the public-private valuation spread? Are there still opportunities to kind of add on to Second Spectrum, BetVision, et cetera, just kind of overall in the market what you're seeing?
Mark Locke: Yes, it's a great question, actually. Look, as the businesses move to a cash flow positive and we continue to execute, obviously, our mind is much - we're much more focused on potential and growth through acquisition. One of the challenges we have is, to be honest, is we sort of have a ton of technology. I mean, we've got - with Second Spectrum and some of the other acquisitions, as well as our own internal development, we've got an awful lot of stuff that we need. So we're not seeing any sort of screaming gaps in our technology stack. So when we look at the M&A market, it's got to be quite compelling on a few fronts. It's got to be compelling on the basis that the technology is really required and we can deploy it well and generate real profitability from it. We've got to have a bit of a focus on the level of distraction and stuff, and ultimately the price that this technology - some of these technology companies are going for. And we are seeing - we feel very strong, we feel like we're in a really good place, and we're seeing, I think, other parts of the market, I think, a bit of opportunity, maybe there's a few areas that are struggling. But unless the price of these is really compelling, combined with the technology that they're offering, these are harder deals to justify.
Chad Beynon: Thank you both. Appreciate it.
Operator: Your next question comes from the line of Robin Farley from UBS. Please go ahead.
Robin Farley: Great. Thank you. So your in-play is growing at a very high rate, and your NFL GGR, I'm sure is, too. I think we only see the total GGR growth for you. I'm just wondering if you could break out the in-play as a percent of total NFL GGR. I see that it's over 20%. I was thinking about this period versus last year to see that change in kind of share of GGR that's coming from in-play. Thanks.
Nick Taylor: Hi, Robin, it's Nick. Yes, the proportion is roundabout 20% of NFL bets were in-play. Yes, the GGR for the year on in-play, I think, was up 140%. And the margins as well, I think we called out in the prepared remarks, win margins were up in '23 compared to 2022 as well.
Robin Farley: Did the share of NFL GGR coming from in-play grow year-over-year? Is it pretty much sort of in line with the growth of GGR overall for the NFL?
Nick Taylor: Yes, I think the in-play GGR outgrew the other betting on GGR on NFL, and therefore, inevitably the mix will have shifted towards in-play position.
Robin Farley: Okay, thanks. And then if you could just clarify how much FX movement since Q3 added to your Q4 revenue? Thanks.
Nick Taylor: Yes, actually, foreign exchange was a slight headwind, not a tailwind in Q4. I think when we guided in Q3, we're at 1.25. And I think the average rate for Q4 was around [1.245]. So it was roundabout 300,000 to 400,000 headwind, not a tailwind for Q4.
Robin Farley: Okay, great. Thank you.
Operator: Your next question comes from the line of Eric Martinuzzi from Lake Street Capital Markets. Please go ahead.
Eric Martinuzzi: Yes, wanted to talk about some of the emerging opportunities. So what's your take as far as election year 2024 with any new states that you could potentially kind of green light the sports betting.
Nick Taylor: Yes. Hi, Eric. Look, we take a market view in terms of new states coming on board, and we take an average of that, and therefore we're not particularly beholden to requiring one particular state as we sit here. I think North Carolina opens up, I think it's next week, I think. So that's obviously baked into our numbers. Florida, we continue to be cautious with, but that's baked into 2024, if that continues. And also to be clear, we're also looking at TAMs on a global basis. And Brazil is something I think we name-checked in the prepared remarks, and that's a really interesting opportunity. Again, we're being very cautious, given the fact it's Brazil and that's not always the most straightforward place to do business. But we're expecting at the moment betting to be live from broadly around the sort of September time onwards.
Eric Martinuzzi: What's the size of that opportunity of the Brazilian market, just maybe in comparison to the U.S. market for a sense of scale?
Nick Taylor: Yes. I mean, the great thing about Brazil, I mean, I'll give you the exact numbers. We think it's going to be roundabout a $2 billion opportunity in 2024. So, look, for Genius, it's not significantly material for us, given the fact, let's say, it would only be probably included in our numbers in really -- in anything meaningful in Q4. But it's also worth just remembering, Brazil is a really interesting opportunity for us because it really plays into our natural business model in terms of having additional revenues without any really significant additional costs that go with it, given the fact that the events that we have are also relevant for the sportsbooks betters in Brazil. The likelihood is that a lot of the customers that we get in Brazil, but sportsbooks will be already customers that we have on a global basis. So it's a classic example of that operating leverage that we talked about earlier in the call.
Mark Locke: The other thing obviously worth pointing out as well, is the NFL are pretty focused on Brazil. There's a September NFL game, and I think they're all in on that. So I think there's quite a big focus on that market, and we're cautiously excited about it.
Eric Martinuzzi: Got it. Thanks for taking my question.
Operator: Your next question comes from the line of Mike Hickey from The Benchmark Company. Please go ahead.
Mike Hickey: Hi, Mark, Nick, Brandon, Charles. Congrats on 23 days. Thanks for taking our questions. Just on the BetVision product, just looking at the U.S. market, obviously, share is kind of consolidated across two primary operators here. And it seems like from an innovation standpoint, on product, in-play is getting a lot of heat. And of course, BetVision fits perfectly there. So just curious, as you sort of think about scaling the product, if you thought about selling it exclusive versus selling it across multiple operators. And then the second question is a follow-up on the M&A. I think the question was directed more towards potential add-ons on tech, but obviously, I think there's at least one asset that's openly for sale that would be more of an addition to your core business and somewhat transformative. So just curious, your appetite for a deal like that versus just sort of tech add-ons. Thanks, guys.
Mark Locke: Hi, Mike. So on the sort of exclusive, non-exclusive, I mean, our model is to work with our partners. We've got to remember that one of our core focuses is to distribute sports products as widely as we possibly can. We're looking to get fan engagement and we're looking to really sort of drive the growth of the sports. So from an exclusive, non-exclusive point of view, that's not something we really consider, we're not going to be doing that. From an M&A opportunity, look, as I think I said, the tech is something that we feel pretty comfortable with. We're in a good place on and we'll obviously look at opportunities as and when they come up. But we're pretty price-sensitive. We're pretty price-sensitive when we come to buying rights. We're pretty price-sensitive when we come to buying other companies. So if it makes sense, if we can make those sort of acquisitions, whether it's rights or whether it's companies in a profitable way, we'll do that. But they've really got to make sense on that sort of basis.
Mike Hickey: Thanks, guys. Good luck.
Operator: Your next question comes from the line of Brett Knoblauch from Cantor Fitzgerald. Please go ahead.
Brett Knoblauch: Hi, guys. Thanks for taking my question and congrats on the quarter. Just curious, as you're thinking about 2024, looking at 2023, we've seen win rates do very well, particularly for the NFL. But, I guess, what is factored in your guidance in terms of win rates for this year? Do you guys just assume that they maybe remain constant or we see some marginal uplift given in-play's increasing percentage of total handle? Thank you.
Nick Taylor: Yes. Hi, Brett. I would just say, it's worth just remembering that U.S. is roundabout 30% of our revenues, and therefore, specific win rates on particular months are either up or down, although they do have an impact, are not always material impact for Genius' position. But on the specific question, we've forecasted and built in a win rate that's pretty consistent from '24 to '23.
Mark Locke: Yes. I mean, it's actually quite interesting if you think about the win rates. One of the things we've been quite focused on as a business, and one of the things that I guess we think a lot about is making sure that we have predictability and stability in our numbers. So almost regardless of the win rates. And the Super Bowl is a good example of that. I think industry-wide, I guess it was a little bit challenging, but as you can see from our numbers, it's come through very strongly for us. It hasn't really negatively affected us. And I think that shows the underlying business model that we've got and the way that we make money, and the way that we partner with our clients in a really good light.
Brett Knoblauch: Perfect. Thank you, guys. Really appreciate it.
Operator: We have no more further questions in our queue at this time. And with that, that does conclude today's conference call. Thank you for your participation. And you may now disconnect.